Operator: Good morning. My name is Jason, and I will be your conference operator today. At this time, I'd like to welcome everyone to the second-quarter 2020 earnings release and operations update for Oasis Petroleum. Today, Oasis management will discuss second-quarter 2020 results in the current environment. Please note this event is being recorded. I will now turn the call over to Michael Lou, Oasis Petroleum's CFO, to begin the conference. Thank you.
Michael Lou: Thank you Jason. Good morning everyone. Today, we are reporting our second-quarter 2020 financial and operational results. We're delighted to have you on our call. I'm joined today by Tommy Nusz and Taylor Reid as well as other members from our team. Please be advised that our remarks on both Oasis Petroleum and Oasis Midstream Partners include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently disclosed in our earnings releases and conference calls. Those risks include, among others, matters that we have described in our earnings releases as well as in our filings with the Securities and Exchange Commission including our annual report on Form 10-K and our quarterly reports on Form 10-Q. We disclaim any obligation to update these forward-looking statements. During this conference call, we will make reference to non-GAAP measures, and reconciliations to the applicable GAAP measures can be found in our earnings releases and on our websites. We will not be hosting a Q&A session during today's call, but our team will be available after our call as needed. With that, I'll turn the call over to Tommy.
Tommy Nusz: Thanks Michael. Good morning and thanks for joining our call. As you all know, the second quarter was one of the most volatile quarters we have ever witnessed in the industry given the unprecedented and dramatic changes in supply and demand brought about by various factors including the COVID-19 pandemic. I'm very proud of our team -- how our team has responded in what has been and continues to be very challenging circumstances while remaining focused on the health and safety of our employees, contractors and our communities. In the face of rapid change and macro conditions, we were able to power down our capital activity in an orderly manner with minimal cancellation penalties, similar to what we did in 2015. And similar to 2015, our cash flow was protected through our proactive hedging program. Coming into the year, we had about 70% of our 2020 volumes hedged, basically with a floor of $54, and you will see that in our EBITDA. Additionally, we took aggressive steps to lower capital spend on our cost structure including both operating and administrative costs, with full benefit on the administrative side to be recognized in subsequent quarters. On the operating side this quarter, we quickly and effectively managed the curtailment and shut-in program to protect cash flow and defer value in what was a sharply contango market. Again here, the team did a great job thoughtfully managing our shutting process including well protection and bringing production back online in an orderly fashion with minimal mechanical upsets or costs. And Taylor will provide more color on that. Importantly, we were free cash flow-positive in the second quarter and expect to be free cash flow-positive through the remainder of 2020. Before passing the call along to Taylor, I'll touch briefly on some highlights this quarter. In the Williston, in response to weak pricing, we implemented a volume management strategy that saved cost and preserved the value of our resource. Because of the team's incredible effort, we were able to keep our unit LOE at low levels despite having about one-third of the volumes shut in throughout the quarter. Our marketing team also did a phenomenal job delivering tight diffs during the quarter. One unique advantage to Oasis is our integration with midstream assets which gives our marketing team market visibility and additional tools to access different markets in order to maximize netbacks. That also plays into our ability to manage any potential takeaway dislocation. In the Delaware, while we shut down activity early in the quarter, we continue to advance our subsurface knowledge by analyzing the multiple variables which impact well performance in both Oasis and third-party data. On the investment side, our most recent completed wells were over several million dollars cheaper than they were when we first acquired the asset, and we expect to build on that success that we've had over the past several quarters and continue to enhance returns. Oasis Midstream continues to be an accretive business to both Oasis and our customers. While this business has required meaningful resources and time and investment, OMS continues to provide flow assurance, attractive pricing and market flexibility and provides a differential service as it pertains to our goals of minimizing the emission footprint of our operation. Oasis captured 96% of its Williston gas production in the second quarter which compares favorably to the broader industry average of 89%. Said another way, we flared only 4% of our gas which is two-thirds less than the basin peer average. As a result of what our team has accomplished on capital cost efficiency, coupled with the current market environment, we now expect Oasis to spend 54% to 58% below our original 2020 capital program expectations. We expect volumes to rebound a bit in the third quarter and hold steady throughout the year-end. While prices have improved considerably in a relatively short period of time, we can expect -- you can expect us to continue to take a thoughtful and measured approach to capital deployment. Capital activity will be very limited in the second half of this year, with emphasis being on free cash flow generation, capital efficiency and asset optimization. Going forward, we expect to capitalize on our recent successes in lowering well cost which should drive capital efficiency and lower breakevens, providing even more resiliency to product price moves. Oasis will continue to focus on what we can control including improving liquidity and getting back to the plumbing business of optimizing our asset base with a relentless focus on cost structure and value creation, similar to the financial and operation -- operating model of the 1980s and '90s. With that, I'll turn the call over to Taylor.
Taylor Reid: Thanks Tommy. I want to reemphasize Tommy's comments on prioritizing the health and safety of our employees. The team has done a tremendous job adjusting to the remote work environment brought on by COVID-19. And we have been executing successfully while maintaining the safety of our employees. Our field operations have performed exceptionally well with our incident rates at or near record lows as we have slowed down our capital program. On the operations front, activity was fairly limited in the second quarter as we responded quickly to the macro issues discussed earlier. As of May, all rigs and completion crews have been dropped. While we finished drilling multiple wells in both the Williston and Delaware, there were seven net completions very early in the second quarter, and E&P capital was 25% below our plans for 2Q. On the production front, in the March to May time frame, we elected to defer production on a number of recently completed wells to retain value when pricing improved. In addition to these wells, we began voluntarily shutting in existing production in April and curtailed approximately 25% of our production in the Williston Basin. Pricing eroded as we got further into April with WTI declining rapidly and Williston spot differentials widening. As a result, we elected to go into May with the majority of our Williston production shut in. However, conditions improved significantly throughout the month of May, and we began bringing volumes back online. May curtailments averaged approximately 50%. We continue to bring on volumes over the course of June and July. And at this juncture, we have most of our shut-in wells back online including the deferred completions I mentioned earlier, with only about 15% to 20% of our Williston volumes being curtailed. Our shut-in process reflected a well-thought-out, systematic plan which, combined with top-notch execution, highlights Oasis' ability to be nimble and effective at difficult times. Great job to the team for their efforts on effective shut-in practices and overall reduction in expenses. We have asked a lot in a challenging time, and the team has certainly rose to the occasion. We continue to work hard toward driving well costs lower and optimizing designs to enhance returns. We expect prices of equipment, supplies and services to decline around 15% to 20% versus early 2020 levels. Additionally, as a reminder, we've been in development mode in the Williston for years and, in 2020, reached this milestone in the Delaware. This means when Oasis resumes activity, drilling and completions will be almost exclusively on a pad basis, allowing for maximum capital efficiency. In the Williston, well design has evolved over the course of several years with the general trend toward optimizing sand, water, perf clusters and stages on our completions, all without sacrificing DSU recovery. We continue to make tweaks to well design and expect economics to continue to improve when Oasis resumes activity. In the Delaware, activity was minimal during the quarter. But as I mentioned, we are in good shape to resume activity when conditions are appropriate. Progress has been significant over the past two years. And in the second quarter, we continued to deliver record drilling cycle times. Our last well was drilled in 22 days. This compares to low to mid-30s a year ago. We expect continued progress on both well design and pricing with potential to push well costs to around $7 million or less when we restart the program. As Tommy mentioned, the Delaware team is mining Oasis and peer data and continue to enhance well design and optimize spacing. Additionally, despite dropping both rigs in May, we don't expect any meaningful acreage loss this year and continue to work with our mineral owners on developing an appropriate plan for 2021. As a reminder, Oasis exited the quarter with 20 DUCs in the combined core of the Williston and Delaware. Through the remainder of 2020, we plan to complete a portion of these DUCs, with the remainder to be completed in the first half of 2021. Our current outlook implies E&P and other capex of $60 million to $75 million in the second half of 2020 or $248 million to $263 million for the full year, down 54% to 58% from our original budget. We expect to manage total company oil volumes to average approximately 40,000 to 42,000 barrels of oil per day through the remainder of the year. To close, Oasis executed well in an extremely challenging quarter, significantly lowering operating costs, reducing capital and preparing the company for the recovery. The macro environment will remain challenging, and we continue to adjust the business to improve returns in this environment. The whole company has demonstrated the ability to quickly adjust and deliver outstanding results under a variety of conditions. I commend OAS and OMP employees for their outstanding. With that, I'll now turn the call over to Michael.
Michael Lou: Thanks Taylor. The Oasis operations team continues its relentless focus on cost control across the entire organization. We not only significantly reduced our E&P capex plan, but we also reduced our midstream capital plan by over 60% to $36 million to $40 million. On LOE, Oasis had superb performance in the second quarter. Consolidated LOE averaged $6.01 per BOE for the second quarter, lower than the first quarter and surpassing expectations despite approximately a third of our volumes being shut in. Hats off to the team as this is quite an accomplishment. In looking toward the third and fourth quarter, we would expect LOE to trend a bit higher as we recommenced some workover spending. Oil differentials averaged $2.90 per barrel off of WTI in the second quarter despite Williston and Permian differentials approaching $10 to $15 per barrel at times. Our marketing team did an exceptional job, both proactively and reactively, putting Oasis in a position to generate strong realizations in what was a historically difficult market. Our team's thoughtful approach, tight coordination with the operations team and knowledge and experience in the markets allow the company to maintain incredible value for the organization. While differentials still have some uncertainty going forward, our team is poised to minimize the short-term blowout risks and is uniquely experienced to manage through both short- and long-term impacts of transportation considerations. Importantly, our midstream providers including OMP, give us significant flexibility and unparalleled access to move our barrels to the best price within the respective business. Oasis generated $93 million of E&P free cash flow in the quarter including $25 million of proceeds from selling certain three-way hedges. We continue to expect to pay down the revolver in the second half of 2020 with free cash flow. Concerning the three-way hedge proceeds in the second quarter, we took the opportunity to monetize the majority of our three-way WTI collars for $25 million as the value of these instruments were close to peak levels. We continue to have the majority of our crude hedged in the second half of the year. Details can be found in our press release. To sum things up, the environment is improving but remains volatile. Oasis continues to work diligently to aggressively reduce our cost structure and improve development economics. With that, I'll hand the call back over to Tommy for some closing remarks.
Tommy Nusz: Thanks Michael. As we've emphasized, Oasis is taking a prudent and measured approach to how we're managing our business and continuing to focus on free cash flow generation in a volatile oil price environment. We continue to leverage technology and management practices to improve our cost structure, capital efficiency and associated value creation while strengthening our already leading emissions profile and managing our environmental footprint. I'd encourage you to check out our website for more details on Oasis' sustainability initiatives. It's been a very difficult environment so far this year, to say the least, and in many ways unprecedented. But while this round is unique in a number of ways, this is not the first time that we've experienced and worked through downturns in our business. I want to thank our team again for being so flexible and resilient and rising to whatever challenges come our way. It exemplifies the Oasis value system and reflects positively on our culture -- on the culture of our organization. Thanks for joining our call.
Operator: The conference is now concluded, thank you for attending today’s presentation, you may now disconnect.
End of Q&A: